Operator: Hello, and welcome to XWELL's Fiscal Year 2023 Earnings Results Conference Call. During today's presentation, all parties will be in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded on April 16, 2024. I would now like to turn the conference over to Suzanne Scrabis, Chief Financial Officer for XWELL. Please go ahead.
Suzanne Scrabis: Good day, everyone. Welcome to XWELL's conference call to review our year-end 2023 financial results. Joining me on today's call is Scott Milford, XWELL's Chief Executive Officer. We have posted our fiscal year earnings on the Investor Relations section of our website located at www.xwell.com. A link to the webcast of today's call can also be found on our site. Before turning the call over to Scott for his prepared remarks, we need to advise you of the following. Comments made on today's call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. These forward-looking statements are based on current assumptions as of the date of this earnings conference call and webcast and opinions that involve a variety of known and unknown risks and uncertainties. Actual results may differ materially from those contained in or suggested by such forward-looking statements. Important factors that might cause such differences include those set forth from time to time in our SEC filings, including our annual report on Form 10-K for the year ended December 31, 2023, as well as our other current and periodic reports that we file with the SEC. With that said, I'd now like to turn the call over to Scott.
Scott Milford: Thanks, Suzanne. We appreciate everyone joining us today. Operationally, XWELL had a very productive year, during which we cost effectively integrated new products, technologies and services into our spas, expanded the scope and long-term value of our CDC biosurveillance partnership acquired an out of airport business that we're actively growing and evolving, expanded internationally, broadened our footprint to include spas and other transit hubs and made meaningful progress advancing a leaner business on our path towards profitability. Now let me turn to some of the specifics. Driven by more effective staff deployment and introduction of new services and technology to drive more passengers into our locations, our spas continue to perform better with XpresSpa delivering revenue growth of approximately 39% when compared to 2022. Our international airport spas also delivered solid operating performance, benefiting from enhanced operational efficiencies, new store growth and the integration with our U.S. retail strategy. Year-over-year, our international spas achieved revenue growth of approximately 40% when compared to 2022. We continue to capitalize on the growth of air travel in Europe and the Middle East as these countries begin to open their doors to more business and leisure travel. In Q4, we opened our 11th international location in the Abu Dhabi International Airport, one of the busiest airports in the Middle East and a key hub for both passenger and cargo traffic. We're pleased with this performance out of the gate, beating our expectations by approximately 25%. Our goal with the spa business continues to be improving our unit economics, improving profitability through operational efficiencies and the continued deployment of wellness products and services that we can sell at a higher margin. I'd now like to share our progress growing outside the airport. As we reported in mid-September 2023, we completed our acquisition of Naples Wax for approximately $1.5 million and have been very busy integrating its three premium aesthetic centers into our portfolio. It continues to perform well and it's executing above our initial expectations. During the fourth quarter of 2023, Naples Wax reported revenue growth of approximately 3% year-over-year and we've seen strong momentum as we head into 2024. In February of this year, we unveiled plans to open three additional Naples Wax locations, adding to our strong footprint in Southwest Florida and extending our reach into the vibrant and growing Tampa St. Petersburg Metro area. Since then, consistent with our projections, we've executed additional Florida leases, including further expansion into the center of the state. Our goal with the Naples Wax brand is to extend its reach across the Southeast with approximately 10 locations by early 2025. And as we open new locations, we intend to incorporate additional aesthetic services into the model to drive new revenue and broaden the offerings at those locations. Furthermore, as that business scales, we're hopeful it will provide frictionless alignment with our spa brand, allowing more customers to experience XWELL. But our Naples Wax brand isn't the only business model we're expanding outside the airport. I'm excited about our plans to take the XpresSpa brand out of the airport with a new labor light model in New York City's Penn Station, further solidifying our commitment to driving retail revenue growth and smart leverage of our brands beyond traditional venues. Having a spa in one of the busiest transit stations in the country, one that serves more than 600,000 passengers daily is an ideal test of the concept's potential in a non-airport venue. To ensure its success, we've customized the New York City Penn Station XpresSpa layout to provide rapid commuters with quick serve products and services including high-tech chair massage and 10-minute robotic manicures as well as curated retail aimed at the rail commuter. We also plan to accelerate other new growth strategies outside the airport, including the planned launch of Treat Studios later this year. The concept builds on our wellness focus, providing rentable space to established practitioners in a uniquely designed environment that caters to the practitioners' customers. We'll look to share details about Treat Studios in the coming months. Now, as I've highlighted on prior earnings calls, leveraging technology continues to play a critical role in our growth objectives, enabling us to cost effectively increase revenue, drive more retail traffic, while also delivering an efficient experience for our customers. I'm happy to share that we have deployed our new autonomous chairs across most of our U.S. spa portfolio. Autonomous massage brings higher margins and has represented nearly 10% of all XpresSpa services in 2023. We also expanded our partnership with Clockwork and launched autonomous manicure stations in our Las Vegas Harry Reid International Airport Spa, bringing our total count to three locations. Since the initial launch of this pilot, we've seen 15% to 20% blended growth in the service. And looking ahead to 2024, expect to continue our pilot in other U.S. locations, including potential expansion abroad. We've also expanded our service offerings with the introduction of a proprietary stretching service in several of our XpresSpa locations in the U.S. Introduced in September 2023, stretch complements the array of massage services already available and leverages the diverse expertise and capabilities of existing technicians. And despite its late launch in 2023, stretches already showing initial signs of growth as we expand this offering in other airports and continue to market the service across the business. We believe integrating new technologies and offerings coupled with the continued growth of our retail business further strengthens the viability of our XpresSpa business. Turning to our XpresSpa business. Since 2021, we've been helping the country in its effort to monitor and hopefully reduce the threat of pathogen transmission through the first ever national biosurveillance program in the United States. The initial collaboration with Ginkgo Bioworks and the CDC has evolved and expanded multiple times and today has grown to include seven of the nation's busiest airports. Together, we're leveraging voluntary nasal swabs, wastewater from aircraft, wastewater from airport waste tritteraters as well as air sampling from international travelers to detect more than 30 viral and bacterial pathogens. Additionally, the current program funding and scope were recently expanded to an estimated $36.7 million reflecting an expansion with new collection locations at U.S. international airports in Miami and Chicago and the rollout of multipathogen testing across the program. We take great pride in XWELL's ongoing support of this vital collaboration. And it's worth highlighting that the biosurveillance program continues to be one of the United States' first lines of defense against impending threats and has achieved several key milestones. For example, during 2023, XWELL conducted approximately 330,000 tests from travelers from over 130 countries. The TGS program is also collecting over 7,000 samples a week, leading to the discovery of new variants and pathogens ahead of other surveillance programs. Notably, the traveler based genomic surveillance program has survived multiple rounds of congressional callbacks with COVID-19 funding and the transition to multipathogen testing broadens the utility of the program and positions it for potential future growth. And while we're focused on growth and driving increased revenue, our primary goal continues to be returning to profitability. During 2023, we believe we've made meaningful strides in optimizing our cost structure, diligently managing expenses and enhancing our operating efficiencies. Throughout the past year, we have continued to take measured steps to optimize our U.S. spa count to reflect a more profitable business, closing locations that we believe will not support our long-term profit expectations. Further, our measured steps have also included reductions in our operating cost structure. In 2023, we removed $11 million from the business in a combination of headcount, system and process reductions. In 2024, we expect an additional $5 million in savings as a result of these efforts. One of the key strategies we deployed in 2023 was a new your business, your unit, your team, system-wide initiatives rolled out in mid-2023. The program is designed to position our wellness locations to operate more efficiently. The initiative fosters a culture of accountability by maximizing revenue, minimizing expenses and achieving unit profitability. For instance, by optimizing staffing and adjusting employee hours, we've achieved labor savings ranging from 10% to 50% within our U.S. spot portfolio. In addition, in spas where notable labor savings have been observed. We have experienced revenue increases of up to 3%, providing further proof of the success of the program. I'm pleased to report that initial results from our cost structure and return to profitability initiatives have been meaningful. As of December 31, 2023, total cost of sales decreased approximately 40% year-over-year. In 2023, salaries, general and administrative expenses decreased approximately 33% year-over-year. We continue to see opportunities for better performance in 2024 and we believe we're on a clear path to return to profitability. And to reiterate, we're focused on multiple long-term strategic priorities, including delivering improved results and increasing retail revenue, leveraging new retail products and technologies, smart expansion, both domestically and internationally, accelerating XWELL's out of airport portfolio growth, launching our new Treat Studios model, continuing our collaboration with global governments in biosecurity, optimizing efficiencies and driving strong operational execution and cultivating an efficient and cost-effective business model. In summary, we're confident in our direction and optimistic about XWELL's position. With that, I'd like to briefly turn the call over to Suzanne for a recap of certain of our 2023 financial results.
Suzanne Scrabis : Thank you, Scott. I'm now going to provide a brief synopsis of our fiscal year results. However, for details, please refer to the 10-K filed with the SEC. In accordance with U.S. generally accepted accounting principles, 2023 results included non-cash goodwill and intangible asset impairment charges totaling approximately $8.9 million primarily related to our HyperPointe unit and other assets related to Treat and XpresSpa. As previously announced on April 12, 2024, the Audit Committee of the Board of Directors of the company after audit work performed in consultation with management and with its independent registered public accounting firm, determined that the company incorrectly applied U.S. GAAP as related to the determination of the impairment of the company's Treat Incorporated business segment for the three and nine months ended September 30, 2023, in the quarterly report on Form 10-Q for the period ended September 30, 2023. The cumulative effect is an understatement of the impairment expenses as related to the Treat business segment of $1.6 million. As part of its determination, the Audit Committee concluded that it was appropriate to correct the misapplication of GAAP described above for financial statements for Q3 2023 included in the third quarter quarterly report by restating such unaudited financial information because the errors in the financial statements are material to the financial statements for Q3 2023. As a result, unaudited financial statements for Q3 2023 should no longer be relied on. Similarly, any previously issued or filed reports, press releases, earnings releases and investor presentations or other communications describing the company's financial statements and other related financial information covering Q3 2023 should no longer be relied upon. These errors have no effect on the company's previously reported cash and cash equivalents or marketable to security balances or cash runway. Prior to the restatement, the company previously reported impairment charges of approximately $6.8 million associated with certain intangible assets in its quarterly report on Form 10-Q for the quarter ended September 30, 2023, filed with the SEC on November 14, 2023. Turning to our results for fiscal year 2023. Total revenue was approximately $30.1 million and primarily consisted of approximately $19.5 million from XpresSpa locations and Treat locations, approximately $9.9 million from XpresTest, which includes XWELL's biosurveillance partnership and its HyperPointe business and $650,000 from Naples Wax center, which was required in the end of the third quarter. Turning to expenses. Our total cost of sales decreased to $26.4 million from $43.9 million in the prior year. Switching to salary, general and administrative expenses, demonstrating our cost-cutting efforts and initiatives, these expenses totaled $20.9 million compared to $31.2 million for the prior year. We reported an operating loss for the year of approximately $28.2 million compared to an operating loss of approximately $31.2 million in the prior year. As Scott has discussed in the past, and it is important to reiterate here that we continue to strategically invest in our long-term growth initiatives. Our net loss attributable to XWELL was approximately $28 million compared to a net loss of approximately $32.7 million in the prior year. Turning to our balance sheet at year-end, we had approximately $8.4 million of cash and cash equivalents, $14.6 million in marketable securities, total assets of approximately $26.6 million and no long-term debt. Looking ahead, we remain focused on continued improvements in execution, including prudent cost management and enhanced operational processes. I look forward to speaking with you all again in the months ahead. I'll now turn the call back to the operator.
Operator: